Operator: Ladies and gentlemen, thank you for standing by and welcome to the Alexion Pharmaceuticals Fourth Quarter and Full Year 2019 Results Conference Call. At this time, all participant lines are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. Please be advised, that today's conference may be recorded. I would now like to hand the conference over to Morgan Sanford, Director, Investor Relations. Please go ahead ma'am.
Morgan Sanford: Thank you, operator. Good morning. Thank you for joining us on today's call to discuss Alexion's performance for the fourth quarter and full year 2019. Today's call will be led by Ludwig Hantson, our CEO. Ludwig will be joined by Aradhana Sarin, our Chief Financial Officer; John Orloff, our Global Head of R&D; and Brian Goff, our Chief Commercial and Global Operations Officer. You can access the webcast slides that will be presented on this call, by going to the Events section of our Investor Relations page on our website. Before we begin, I would like to point out that we will be making forward-looking statements, and these statements involve certain risks and uncertainties that could cause our actual results to differ materially. Please take a look at the risk factors discussed in our SEC filings for additional detail. These forward-looking statements apply only as of today, and we undertake no duty to update any of the statements after the call, except as required by law. I'd also like to remind you, that we will be using non-GAAP financial measures, which we believe provide useful information for the understanding of our ongoing business performance. Reconciliations of our financial results and financial guidance are included in our press release. These non-GAAP financial measures should be considered in addition to, but not as a substitute for, our GAAP results. Thank you. Ludwig?
Ludwig Hantson: Thank you, Morgan, and good morning everyone. Before we review our fourth quarter and 2019 full year performance, I would like to take a brief moment to announce that we have successfully closed on our acquisition of Achillion Pharmaceuticals, which represents an important step in diversifying our business. Through this acquisition, we had two clinical stage assets to our portfolio, with danicopan and 5228. We are thrilled to welcome our Achillion colleagues to Alexion and excited about the opportunity to collaborate on the development of these Factor D assets for a broad range of rare diseases. Turning now to our 2019 performance, we delivered on all of our key objectives, and in many cases have surpassed our goals. ULTOMIRIS is now the market leader in PNH, in our three largest markets, the U.S., Germany and Japan. The ULTOMIRIS HUS conversion is progressing well in the U.S., and we anticipate launching in the EU and Japan this year. We are also very pleased with the uptake of our neurology franchise, with continued growth of SOLIRIS in gMG and the launch in NMOSD. In just over two years, neurology has become our largest franchise in the U.S. by patient volumes. Our ambition is to quadruple the number of MG and NMOSD patients treated by SOLIRIS, and eventually ULTOMIRIS in the U.S. by 2025. Our metabolics portfolio continues to deliver strong growth, as we work to expand access for HPP and LAL-D patients.
Aradhana Sarin: Thank you, Ludwig. Starting with Slide 10, we reported fourth quarter total revenues of approximately $1.4 billion, an increase of 23% year-over-year. This was driven by strength in our neurology franchise, continued growth in the core businesses and ULTOMIRIS launch. Our non-GAAP operating margin was 51%, a reduction of 155 basis points versus prior year, driven by increased R&D spend, as we advanced and further build our development portfolio. Non-GAAP EPS was $2.71, representing 27% growth year-over-year, driven primarily by strong top line growth and lower effective tax rate. Moving to Slide 11, fourth quarter total net product sales were primarily driven by patient volume growth in our key markets. Turning to Slide 12, SOLIRIS revenues in the fourth quarter were approximately $1 billion, with year-over-year growth of 4%. SOLIRIS revenue growth was driven primarily by gMG revenues, partially offset by ULTOMIRIS conversion dynamics. ULTOMIRIS revenues in the fourth quarter were $170 million, which now includes contributions from atypical HUS in the United States. Metabolics revenues in the fourth quarter were $201 million, representing 32% year-over-year growth.
John Orloff: Thank you, Aradhana. On Slide 17, you can see our current development portfolio. We now have 19 planned clinical stage development programs for 2020. In the coming weeks and months, we expect to report interim data from our Phase III once weekly on body subcutaneous ULTOMIRIS program, an update on our anti-FcRn studies, and interim data from the Phase II study of danicopan in C3G. We're excited about the acquisition of Achillion and look forward to providing additional detail in the coming months, as we embark on the integration. Just a few weeks ago, we reiterated our ambition to execute 10 launches by 2023 from our current portfolio. On Slide 18, you can see our R&D highlights, which summarize these programs, including stage and clinical development, and the estimated addressable population. We are expanding our C5 presence well beyond the PNH and atypical HUS business, and are advancing ULTOMIRIS into five additional indications across neurology and nephrology. Together, the ULTOMIRIS programs present an opportunity to expand our treated patient population by tens of thousands of patients.
Brian Goff: Thank you, John. Turning first to Slide 22; we've seen unprecedented progress -- in establishing ULTOMIRIS as the market leader in PNH. This is due in large part to the compelling value proposition, which include strong data from the largest and most inclusive PNH clinical program ever conducted. The broad inclusion criteria in the two Phase III trials in shorter study patient population, would be representative of the real world PNH population. Specifically, we enrolled transfusion independent and transfusion dependent patients, with no baseline hemoglobin or absolute reticulocyte count requirements. We also included patients with prior history of bone marrow failure, which is critical, because roughly 40% to 50% PNH patients have a history of bone marrow failure or aplastic anemia. As of Monday of this week, we've converted 60% of PNH patients to ULTOMIRIS in the U.S., 62% in Germany and 53% in Japan, making ULTOMIRIS the PNH market leader in our three largest volume countries. Our latest launch of ULTOMIRIS in atypical HUS in the U.S. is also off to a strong start. While it's still early days, conversion is tracking in line, with the PNH conversion curve at the same time point, since launch. Our neurology business is now our largest franchise by patient volume, and this was achieved in just two years since launch. On Slide 23, you can see we exited the fourth quarter with 1,885 patients on treatment with SOLIRIS for gMG and NMOSD in the U.S. We've made significant progress advancing our presence in gMG and with our NMOSD launch. gMG patients continue to have broad access to SOLIRIS. Our strong NMOSD launch is underpinned by a remarkable Phase III data, showing 98% of patients relapse-free at 48 weeks, with sustained efficacy out to three years. We're making progress educating payers on the severity of NMOSD attacks, the objective of preventing all relapses, and the difference between NMOSD and MS. As a result of these efforts, payer adoption of coverage policies for NMOSD has been rapid, and we're seeing strong adherence to SOLIRIS therapy in both gMG and NMOSD. Looking ahead, we're well positioned to deliver on our ambition of quadrupling our U.S. GMG and NMOSD treated patient population within the next five years. With potential for ULTOMIRIS to launch in late 2022 or early 2023, as an every eight-week infusion. Our once-weekly, on body subcutaneous formulation planned to launch simultaneously with the IV formulation, will provide another important treatment option for patients, who prefer self or home based administration. Our target gMG population represents more severe uncontrolled patients, and we believe this is a unique space, where SOLIRIS and then ULTOMIRIS can serve as a highly effective treatment option. In NMOSD, our target patient population mirrors inclusion criteria in our Phase 3 SOLIRIS PREVENT trial. With our dedicated neurology team, we believe our commercial organization is well positioned to deliver on our 2025 ambitions. I'd like to take a brief moment to thank both our global commercial and global operations organizations, for their hard work and dedication, which has enabled us to excel with multiple launches, and continue to bring hope to the rare disease patients we serve. I'll now turn the call back to Ludwig for closing comments. Ludwig?
Ludwig Hantson: Thank you, Brian. Once again, I'm very proud of what the team delivered in 2019. We're well positioned to further build on our momentum in 2020, and there is much to look forward to this year. We have laid out a clear strategy, to deliver long-term shareholder value, by establishing ULTOMIRIS as market leader in PNH and HUS, expanding our presence in C5, including planned programs in neurology and nephrology, and continue to look for opportunities to diversify our business beyond C5. Importantly, we maintain our unwavering focus on patients and our commitment to advance our mission to deliver life changing therapies to people living with rare diseases. With that, we will now open the call to questions. Operator?
Operator:  Our first question comes from Cory Kasimov of JP Morgan. Your line is open.
Cory Kasimov: I guess I just want to get a better sense of the drivers behind your guidance for 2020, particularly on the top line. On the surface it looks pretty conservative, is this primarily just a function of the pricing dynamic of assuming more ULTOMIRIS patients on maintenance dosing this year? Or are there other factors that are also important behind the scenes that I'm missing?
Ludwig Hantson: Yes Aradhana? The answer is, yes, you're right. But go ahead.
Aradhana Sarin: So first of all, we had an amazing year in 2019. 21% top line growth, 33% EPS growth, exceeded all our conversion targets, six BD deals, so 2019 was an amazing year. On 2020, we have guided to 11% top line growth. So there are few dynamics that are going on here. First of all, we had -- because we had great conversion from SOLIRIS to ULTOMIRIS in 2019, as we go into 2020, there will be an impact to revenues, due to the lower annual cost of treatment per patient, as majority of patients have now already converted, and will now go into maintenance dosing, that's on the PNH side. On the atypical HUS side, we're just starting to launch ULTOMIRIS. There, we do not have the loading dose benefit. There in fact, on the first year, there is a 22% lower price per patient annual treatment cost, and in year two, there is a 33% lower treatment cost annually for the patient. As a result, that dynamic also is sort of a headwind from a revenue standpoint. This is to some extent mitigated by our neurology growth. As you know, we put out our ambition for neurology, having four times the number of patients by 2025. So we're still seeing strong neurology growth on the patient volume side. In addition, we're also seeing high single-digit growth for PNH and atypical HUS patients, and our metabolics business continues to grow as well. So it's a mix of all these different factors that impact the top line. On the bottom line, there are several other factors that impact the EPS guidance. As you can see, our R&D spend is going up substantially. It's about a $270 million increase on a dollar basis, and its 19 clinical programs that you've heard about, many of which we did not have in 2018 or 2019. In addition, the R&D spend also includes the spend that we will have, as a result of the close of the Achillion transaction. In addition, the R&D spend includes the BD transactions that we've already announced, and the milestones that we expect to pay for those transactions, as those programs move forward. In addition, you see that the tax rate, which was on a non-GAAP basis, 13% in 2019 is on the midpoint, expected to be between 16% and 17% or 16.5%. So that's about 350 basis points change from 2019. So those are some of the factors that impact the bottom line.
Cory Kasimov: Okay.
Ludwig Hantson: Does that answer your question?
Cory Kasimov: Yes it does. The color is very helpful. Thank you very much.
Ludwig Hantson: Okay. We'll take the next question, operator.
Operator: Our next question comes from Geoff Meacham of Bank of America. Your line is open.
Geoff Meacham: Good morning, guys, thanks for the question. I just have a couple of quick ones. For Brian...
Ludwig Hantson: Geoff, do you just mind speaking up a little bit, its very difficult to hear you? Yes. Is that better? Okay, let's try.
Geoff Meacham: Okay. So for Brian on ULTOMIRIS conversion, are there differences between PNH and aHUS, and down the road NMO and MG, with respect to conversion from SOLIRIS. I wasn't sure if there are nuances between the indications, or if the 70% target was broadly applicable? And then, Ludwig, just curious if there have been further dialog with -- between you and Elliott, since the announcement and maybe just highlight where you see the biggest differences between -- and opinion between the strategies going forward? Thank you.
Brian Goff: Hey Geoff, it's Brian. I'll start. On the on the conversion, first of all, your comment on, is the 70% broadly applicable to our base business of PNH and atypical HUS, the answer is yes. We have the same ambition. Of course, we've made excellent progress on PNH and as we've reported now in our three largest markets, with PNH, we are over the 50% mark. So ULTOMIRIS is definitively the market leader. Atypical HUS is a different dynamic in terms of conversion, because it's a more acute condition. So you have many of the patients, who will start in the inpatient setting, and they may actually start on SOLIRIS. But then, as soon as they are discharged, there is an opportunity for facilitated patient conversion to ULTOMIRIS, and part of that is, hospital formulary dynamics and part is just awareness of ULTOMIRIS availability, but again, same ambition. And the other half of your question was around neurology, and I guess here you're asking about with SOLIRIS, because it's too premature to talk about ULTOMIRIS in neurology. And there are very different dynamics between gMG and NMOSD. Though we're really pleased with the progress we're making with both launches. gMG as you know is two years and counting, and in the U.S., we continue to make progress in both breadth of prescribing as well as depth of prescribing. In NMOSD, we began that journey in the middle part of last year. The launch is very much on track, and we gave the combined numbers of -- as of the end of last year, 1,885 patients. So that starting point of two years with gMG and six months plus with NMOSD, and the progress we've made, has really fed our ambition to be at four times, within five years from now.
Ludwig Hantson: With respect to your second question, Geoff, so we continue to have a constructive dialog with Elliott, as we have with all of our shareholders. As you know, our dialog with Elliott started in 2017 and we listened very carefully to all of you. We also believe that, we have a stock that is undervalued, especially given our strong execution in -- so the management team, including the Board, believes that we have a strong strategy and that we need to continue to focus on executing that strategy and that will create long-term shareholder value. There is not much more that I can add to that. Operator, can we take the next question?
Operator: Our next question comes from Geoffrey Porges of SVB Leerink. Your line is open.
Geoffrey Porges: Okay, thanks. Couple of questions. First Aradhana, just on the guidance, so it sounds to me as though you're saying that ULTOMIRIS is going to be sort of flattish to down, because there is obviously a strong underlying trend in SOLIRIS. So if I just take the Q4 revenue run rate and carry it forward, then I get to your guidance for 2020. So it sounds as though you're telling us that ULTOMIRIS is actually going to go down compared to the Q4 run rate, because of the dose shift, and I just want to make sure that's clear? And then another communication clarification question, your 10 launches by 2023, is that what you see being possible, or is that your strategic commitment? Meaning if some of those, which are clearly high risk such as ALS or even the Caelum program, if they fall by the wayside and the trials aren't successful, will you add other programs to ensure that you deliver 10 by 2023? I just want to understand how to think about that? Thanks.
Aradhana Sarin: Sure. So I'll address the first question and then John can address the second question. So I don't think it's accurate to assume that ULTOMIRIS revenues are actually going down. We expect ULTOMIRIS revenues to still go up for a number of reasons. First of all, we've only converted say around 60% of the market in our three major geographies, and there is still a long way to go, on the PNH side. Secondly, we just started launching ULTOMIRIS and atypical HUS, and that's a conversion dynamic that we will see. Now, there is a mix of both volume as well as price, and you've been -- you can see in the appendix, the pricing dynamic. So we still expect the conversion to drive the volume and there will obviously be some price headwind, as a result of the lower annual cost per patient. That will be balanced by -- on the SOLIRIS side, strong growth on the neurology franchise, as well as on the metabolic side, both of those businesses still continue to grow very well.
Ludwig Hantson: Yes. We have -- $170 million for the quarter. So we have a run rate of $680 million. We plan to do much better than that, Geoff. It's almost no HUS sales in 2019 and U.S. is picking up and Brian was talking about the fact that the HUS conversion to ULTOMIRIS is similar to what we've seen with PNH, which is best in class. Plus, we think that we're on a good track to get European HUS approval before mid of this year. So that will come in as Plus every month, we have another country globally that's launching ULTOMIRIS. So ULTOMIRIS is going to grow substantially. And then, with respect to your question on your 10 launches?
John Orloff: Yes. So Geoff. Hi. Its John. I think the 10 launches is clearly our ambition. We believe it's an achievable ambition. Five of those launches are related to ULTOMIRIS, which we think is de-risked, based on the data we have so far. Many of those are in disease areas where we've already established proof of concept and mechanism. The other five relates to new assets, two of those are danicopan and Factor D, where we think we have a strong supporting data. And as you indicate, we continue to press the envelope, if you will, with regard to business development, and bringing in new assets that we think we will be able to kind of plug and play. And so we think that's -- it's highly achievable, and if one or more of those fall off, then we have other opportunities as well, that we haven't really talked about, both internally, as well as potentially, through external innovation.
Ludwig Hantson: Does that answer your questions, Geoff? Next question.
Operator: Our next question comes from Chris Raymond of Piper Sandler. Your line is open.
Chris Raymond: Thanks for taking the question. Just noticing in your slides, I guess it's Slide 12 specifically, it looks like there's a lot more growth in Q4 for ULTOMIRIS in APAC or the rest of the world versus EU. Maybe just if you could talk about the assumptions you made in 2020 for Europe versus the rest of world or APAC on ULTOMIRIS? And also maybe, can you quantify any Russian biosimilar impact for ULTOMIRIS or SOLIRIS? And then maybe just a guidance question around you -- just on the R&D, can you maybe put some brackets around what those milestones are and maybe quantify some of that impact? Thank you.
Ludwig Hantson: Yes, maybe I start with Russia. As a matter of fact, you might know how the Russian market works, but -- out of the C5 business in Russia, should you expect any ULTOMIRIS business in Russia moving forward, the answer is not really. Then on your second question on APAC fourth quarter, loading?
Aradhana Sarin: Yes. So the APAC fourth quarter that you see, it's really driven by Japan, and as we launched PNH ULTOMIRIS in Japan, there was very strong uptake. We have shared numbers with you in the past, and that was the loading dose benefit that I talked about for the PNH patients given the pricing and the volume difference. So that explains the APAC numbers.
Ludwig Hantson: And then we have a question on the milestones?
Aradhana Sarin: Yes, we've made public our various partnerships, both on Caelum and Affibody and Dicerna and so forth, and as those programs progress, there'll be milestones owed. I don't think we're breaking down how much is milestones versus not. And then also that $270 million increase, includes the impact of the Achillion transaction and you can estimate sort of how much that spend would be, given, we plan to progress both danicopan and 5228 forward this year.
Ludwig Hantson: Okay, we will take the next question.
Operator: Our next question comes from Josh Schimmer of Evercore ISI. Your line is open.
Josh Schimmer: Thanks for taking the question. I might have missed it, but was there any other contributing factors for the strong performance of SOLIRIS in the U.S., given some of the growth drivers, but still a little bit above where I might have expected? And then for SOLIRIS in Japan, with new repricing rule, this label expansion, does the NMO indication addition -- is that going to change the price point for SOLIRIS? And if so, how? Thank you.
Brian Goff: Hi Josh, it's Brian. With SOLIRIS in the U.S., I think what you have are mostly a story around neurology, and we're really pleased with the growth that we've had with gMG, as well as the launch of NMOSD, which again began in July, and that has progressed very nicely. We also -- and this is more for SOLIRIS and ULTOMIRIS, which goes back to your earlier questions as well. In addition to all the conversion dynamics that we talk about, we continue to identify new naive patients with PNH as well as atypical HUS as well. And as we've indicated, we see that continuing in high-single digits and low double-digit growth pattern. So that's feeding it additionally.
Ludwig Hantson: Okay. We'll take the next question.
Operator: Our next question comes from Matthew Harrison of Morgan Stanley. Your line is open.
Kostas Biliouris: Hi, this is Kostas on for Matthew. I have a question based on your FcRn gMG study, which is now a Phase II in second half 2020. I'm wondering whether there has been any delay to the initiation of this study versus prior expectations? And a follow-up question, what do you need to advance this study to the Phase III? Thank you.
John Orloff: Yes, thank you. So we have two anti-FcRn programs. One is -- we have this Syntimmune acquisition, which is 1830, that's back in the clinic now. You may recall that last year, we had a CMC issue that we've addressed. We have now have new drug product that's been delivered. We initiated with a higher concentration formulation subcutaneously to healthy volunteers that began in December, and we are reinitiating the Phase II program with the IV formulation in hemolytic anemia this quarter, which was also paused for the same reason. So we will complete those dose ranging trials and then be in a position to launch pivotal programs later this year. And with regard to myasthenia gravis, we may need to do some additional dose ranging upfront there, that would be a seamless Phase II/III type of trial. And then of course progressing further with hemolytic anemia. So no additional delays in the program. We're pressing ahead.
Ludwig Hantson: Next question.
Operator: Our next question comes from Robyn Karnauskas of SunTrust Robinson. Your line is open.
Robyn Karnauskas: Hi, thanks for taking my question. Ludwig, just quickly, on the 20,000 eligible target population for MG that you've noted. How are you thinking about that in terms of that impact to price and the ability to capture that, given the competitive landscape? And then along with that, you've talked about, you have a way to go still with converging already at 60%, with the 70% you had set out originally as a goal. How do we think about bottlenecks for conversion going forward? How quickly could that slow or just any color you could provide, so we could figure out how to model that correctly? Thank you.
John Orloff: Hi Robyn. Let me start with the first one on the the approximately 20,000 patient addressable opportunity for ULTOMIRIS in gMG. So the way that we see the gMG market evolving is, first of all as we've talked about many times, SOLIRIS continues to occupy a relatively, let's call it narrow segment of the larger gMG population. It's about 8.0000 patients, which are uncontrolled, more severe patients. And that really aligns with the regain pivotal Phase III study. We are not by the way, limited from a label perspective to stay in that 8,000 patients, but that has in the last two years, that has really been the sweet spot for SOLIRIS. As we move into the opportunity with launch of ULTOMIRIS, based on the trial design that John and the team have put forward, we see that that space expanding such that the burden of previous IST cycles of therapy is not as high as it was for regain, and we see that opening up a larger segment for ULTOMIRIS. Now, to your point about price, I mean, neurology is one aspect of price that we will continue to assess. But as we've said, we have eight indications that we've announced, that we're pursuing for ULTOMIRIS. And as those unfold, we have consistently said we maintain price flexibility to align the volume opportunity, with the value that ULTOMIRIS offers, and so we'll, we'll stay on that path. Your second question was around the continued conversion dynamics. We still maintain the same ambition of 70% within two years of our launch markets. We are well on track with that. We've talked with a lot of pride about the three largest markets, we have worldwide, U.S., Germany, Japan. The only real bottlenecks that we see, and I wouldn't even call them bottlenecks, it's largely a function of time, is moving from so called centers of excellence of treatment with PNH, higher volume centers, as well as with the atypical HUS, to a broader customer segment, and that just takes time for us to continue to penetrate.
Ludwig Hantson: Can we take the next question, operator?
Operator: Our next question comes from Mohit Bansal of Citi. Your line is open.
Mohit Bansal: Great, thanks for taking my question. So just switching toward danicopan as well as 5528 strategy, the doctors seem to like the alternative pathway a lot, and 4471 is clearly not  monotherapy. But could you please help us understand, what would you want to see with 5528, in terms of profile of the drug, which could potentially make it a viable monotherapy or potentially a frontline agent, ahead of C5? Thank you.
John Orloff: Sure. So first of all, we are committed to progressing the clinical development plans that Achillion has already communicated publicly in PNH with 4471, that's completed the Phase II data that we shared at ASH in December, and now planning to move forward with a Phase III study in PNH patients with extravascular hemolysis. At the same time, there is an ongoing Phase II study with 5228 which has better PK characteristics. It has got a longer half-life, the half life being about 12 hours, and also has better activity against the alternative pathway, with more than 90% inhibition of that pathway. So we're really excited about that compound, in order to give it less frequently, and it's greater potency that allows us to expand potentially into new opportunities beyond those with the EVA. So there is a Phase II program going on now, that is looking at it, not only on top of C5 inhibition, but also as monotherapy. And then I would say, lastly that we're very excited about the opportunities beyond PNH in additional disease areas, that we haven't operated in, where the alternative pathway has been implicated, and where there are exciting opportunities to treat more patients with rare disease.
Mohit Bansal: Got it. Helpful.
Ludwig Hantson: We will take the last question.
Operator: And our last question comes from Kennen MacKay of RBC Capital Markets. Your line is open.
Kennen MacKay: Hi, thanks for squeezing me in and congrats on the progress throughout 2019 and into the New Year. Maybe a question for Brian, the PNH switch execution has been beyond phenomenal in in the U.S., can you maybe help us understand how we should be thinking about the pace of switching in AHUS versus PNH, given differences in presentation and disease morbidity?
Brian Goff: Yes. Hey Kennen. Beyond phenomenal, I wrote that one down, so thanks a lot.
Kennen MacKay: Put that in your review.
Brian Goff: The dynamics, as I noted earlier, the dynamics between atypical HUS in PNH are different. But of course, the profile of ULTOMIRIS is the same, and we get the same compelling feedback from patients, from physicians, and certainly from payers. And in fact as Aradhana had noted, the economics on an annual cost of therapy play out even more favorably for atypical HUS with ULTOMIRIS versus SOLIRIS. So I think what we're going to see are different dynamics in terms of inpatient, outpatient starts. But the same 70% ambition and just a couple of months in the launch, we are pleased with how we're tracking. So thanks for the question.
Ludwig Hantson: Okay, perfect. Operator, I'll take it from here. I have two topics that I want to close the the meeting with. The first topic is the state of our business. The second one is an update on IP. With respect to our business, I believe we have a very healthy business. We talked about the fact that we have a healthy top-line growth moving forward. In -- driven by volume growth, this is not about price increases. We drive our business through to volume and innovation. We believe we have a healthy R&D pipeline and that's why we say we -- our ambition is to launch 10 products, new indications, new formulations by 2023, and that's the way it should be for a biotech organization. Then we have an operating margin that is very attractive within our industry. We are now around the mid 50s. We come from the lower 40s, and we believe that's a very healthy operating margin space to play in, so we really feel good about all of this, and this is reflected in our guidance. The second topic, as I said is IP. So I have an update. And some of you might have seen that, the U.S. Patent Office has allowed a new patent for SOLIRIS, providing additional patent protection in the U.S. through 2027. And the new patent covers the methods of treating PNH with SOLIRIS, which is a method of used patents. Just to remind you, we also have an existing patent covering a method-of-use for HUS with SOLIRIS, which expires in 2032, and none of those two patents have been challenged. It's important that you guys know all the details of what's going on in the U.S. Patent Office. With that, we'll close the call. Thank you for dialing in. I am really excited about the progress that we're making and hope you will enjoy the rest of your day. Thank you.
Operator: Ladies and gentlemen, this now concludes the conference call. Thanks for participating. You may now disconnect. Everyone have a great day.